Operator: Ladies and gentlemen thank you for standing by. Welcome to the CACI International Full-year 2021 and Full Year 2022 Guidance Conference Call. Today’s call is being recorded. At this time, all lines are in a listen-only mode. Later we will announce the opportunity for questions and instructions will be given at that time. [Operator Instructions] At this time, I would like to turn the conference over to Dan Leckburg, Senior Vice President of Investor Relations for CACI International. Please go ahead sir.
Dan Leckburg: Well, thank you, Andrea, and good morning, everyone. I’m Dan Leckburg, Head of Investor Relations for CACI. And we thank you for joining us this morning. We are providing presentation slides, so let’s move to Slide Number 2 please. There will be statements in this call that do not address historical facts, and as such, constitute forward-looking statements under current law. These statements reflect our views as of today and are subject to important factors that could cause our actual results to differ materially from anticipated. Those factors are listed at the bottom of last night’s press release, and are described in the Company’s SEC filings. Our Safe Harbor statement is included on this exhibit and should be incorporated as part of any transcript of this call. I would also like to point out that our presentation will include discussion of non-GAAP financial measures. These should not be considered in isolation or as a substitute for performance measures prepared in accordance with GAAP. Let’s turn to Slide 3, please. To open up our discussion this morning, here is John Mengucci, President and Chief Executive Officer of CACI International. John?
John Mengucci: Thanks, Dan. And good morning everyone. Thank you for joining us to discuss our fourth quarter and fiscal 2021 results, as well as our fiscal year 2022 guidance. With me this morning is Tom Mutryn, our Chief Financial Officer. Slide four please. Last night we really start fourth quarter and full year results for fiscal 2021, as well as our guidance for fiscal 2022. And I'm very pleased with our performance. Our fourth quarter results were in line with our expectations and capped another strong year for CACI. For fiscal year 2021, we delivered revenue growth of 6%, adjusted EBITDA margin of 11.1% and robust cash flow. Our organic revenue growth of 5% was ahead of our underlying addressable market, and we delivered healthy margin expansion. We also won a total of $9.2 billion of contract awards with over 40% of that new business to CACI. That represents a 1.5 times book-to-bill for the year with a healthy mix of recompete wins to preserve our base and new awards to drive future growth. And we delivered those results while navigating the persistent challenges of COVID-19. I could not be prouder of all of our employees who continue to support our customers, while ensuring the health and safety of themselves and those around them. Slide five please. Turning to the external environment, we are almost seven months into the new administration and budget indications remain very constructive. The administration proposed an increase in overall defense spending of about 2% and as the NDAA makes its way through Congress, their indications to fund spending could have further upside. Importantly, we continue to see bipartisan support to fund national security and IT modernization priorities, including offensive and defensive cyber, border security, C4ISR, electronic warfare and space. As we think about cyber outside of DoD and the intelligence community, DHS's Cyber Security and Infrastructure Security Agency or CISA will be a focal point for federal civilian cyber investment. CACI is well-positioned at CISA and DHS more broadly with existing programs, customer relationships and contract vehicles to address additional cyber requirements. In addition, the administration is focused on enabling technologies and methodologies like artificial intelligence and agile software development, areas were CACI is extremely well-positioned. It's all about an R&D let agenda to develop capabilities and technology geared toward near peer threats, great power competition and ongoing counterterrorism. All this aligns very well with our strategy and capabilities. Slide six please. Looking forward, it remains clear that the future is software-based. Many of our customers most pressing challenges have common underlying needs. New capabilities at the speed of technology, increased agility, flexibility, security and efficiency, all of which can be solved with software. CACI continues to address these needs and demonstrate industry leadership in software development with multiple pillars of success. Agile software development at scale, DevSecOps using tool-based automation and a focus on open software architectures. Different progress they emphasize more -- one or more of these elements, but they are present and key to our future growth. Our agile-at-scale capabilities enables the industrialization of software development, which customers are increasingly asking for faster, more responsive to changing needs, more efficient with materially higher quality. CACI is a leader of agile at scale delivering on the largest agile programs in the federal government. This includes our BEAGLE program with over 100 applications. BEAGLE and other CACI agile programs provide important past performance and credentials to address the government's growing demand for agile. In fact, we recently won new business at a classified agency to apply agile software development to large-scale data analytics. This win also leveraged the capabilities and customer relationships of our Next Century acquisition. In addition, you've heard us discuss our 100 plus projects focused on AI. AI is ubiquitous across our business providing customers speed efficiency and predictive analytics. AI was at the center of our recent $376 million NGA win where CACI is building out the computer vision infrastructure, tool suites and analytic environments for NGA analysts, providing an open best-of-breed environment to users. Lastly, a key element of our strategy is to look further downfield and invest in differentiated software-defined technology ahead of customer need. Photonics or laser-based communications and remote sensing is a great example, which came to us via our acquisition of LGS. It is a technology we continue to invest in today. Notably, aerospace and defense primes recently purchased our photonics technologies to include on their platforms. We have a nice pipeline of additional sales opportunities across the A&D primes. This is confirmation of well-placed investments in differentiated technology. Slide seven please. Turning to our FY 2022 guidance, we expect another year of revenue growth above our addressable market, which we expect to grow at about 3% over the next five years. And we remain committed to ongoing margin expansion consistent with our stated performance goals. At the midpoint of our FY 2022 guidance, we expect revenue growth to 4% and adjusted EBITDA margin of 10.9%, which represents continued expansion of our normalized FY 2021 base of 10.7%. In addition, we expect to continue to generate robust cash flow, and Tom will provide additional details shortly. We're seeing positive growth in technology and expect it to continue to outpace expertise growth, collectively offsetting the impact of the Afghanistan drawdown. I want to emphasize that all areas of our business are important and can contribute to growth and margin expansion. And there is a great synergy between expertise and technology. Expertise informs the technological requirements of the daily mission. And our technology capabilities are fantastic enablers and differentiators of our expertise, allowing us to deliver efficient and effective results to our customers. Slide eight please. CACI success driving growth and margin expansion continues to generate robust cash flow. Our cash flow and overall financial strength enable us to deploy capital to drive additional shareholder value through investments in growth, share repurchases, M&A and other capital deployment options. We will continue to invest ahead of customer need to drive future growth and differentiation. Our commitment is to utilize CACI's strong cash flow to deliver the greatest long-term shareholder value. With that, I'll turn the call over to, Tom.
Tom Mutryn: Thank you, John, and good morning everyone. Please turn to slide number nine. Our fourth quarter results were a solid finish to another successful year of growth in margin expansion. We generated revenue of $1.6 billion in the quarter, representing 5% overall growth and 4.3% organic growth. Adjusted EBITDA margin was 9.3% and net income was $137 million. We are also reporting adjusted net income, which we defined as a GAAP net income adjusted for the intangible amortization expense associated with acquisitions. Adjusted net income in the quarter was $149 million. Let me remind you that the consecutive method tax change we discussed last quarter reduced fourth quarter revenue and adjusted EBITDA by $7 million, it increased net income by $51 million. Slide 10 please. For the full year we generated just over $6 billion of revenue, representing 6% total growth and 5% organic growth despite COVID-19 impacts. We continue to expand margins with adjusted EBITDA margin of 11.1%, up from fiscal year 2020, 10.0% margin. The underlying margin in FY 2021 normalized for COVID related head and tailwind, the tax method change in the strong performance on a fixed price program, which we noted on prior calls with 10.7%, in line with our initial fiscal year expectation. This provides the base for an apples-to-apples comparison to our fiscal year 2022 guidance. GAAP net income of $457 million represents growth of 42% benefiting from the tax method change in the strong fixed-price program performance, as well as revenue growth, margin expansion and lower interest expense. Adjusted net income of $507 million represents growth of 39% from last year. Slide 11 please. Fourth quarter operating cash flow was $100 million excluding our accounts receivable purchase facility, reflecting continued healthy profitability in cash collection. DSO with that 54 days and we generated operating cash flow $610 million for the full year both value excluding or AR purchase facility. A 19% even operating cash flow was driven by overall growth, margin expansion in a three-day reduction in DSO. These items more than offset the $90 million of additional payment for the fourth quarter associated with the tax method change allowing us to exceed our operating cash flow commitment. Recall, we also benefited from a $50 million for payroll taxes during the fiscal year. We ended the year with net debt to trailing 12 month adjusted EBITDA at 2.5 time, and this leverage reflects the $500 million outflow associated with March accelerated share repurchase. Our strong cash flows and low leverage, the low interest rate environment in our equity valuation informed our decision to repurchase shares to drive additional shareholder value. Slide 12 please. Now let's turn to our fiscal year 2022 guidance. As in prior years our guidance is based on its program-by-program bottoms of planning activity. This profit provides a significant visibility and confidence at our outlook. We expect revenue to be between $6.2 billion and $6.4 billion implying organic revenue growth of 4% at the midpoint. This is despite a 2% headwind going into the year driven by the withdrawal from Afghanistan, which we discussed last quarter. We expected adjusted net income to be between $430 million and $450 million with $50 million after-tax intangible amortization expense. We expected adjusted EBITDA margin 10.9% at the midpoint, up 20 basis points from last year on a normalized basis. Our organic growth and margin expansion expectations are driven by new business wins in high areas of our addressable market as well as on contract growth, excellent program execution in overall business efficiencies. We expect free cash flow at the least $720 million in FY 2022. Capital expenditures are expected to be approximately $90 million higher than last year driven by several discrete growth in investment projects. With this, operating cash flow is expected to be at least $810 million. We will pay $45 million of the deferrals related to employee portion of the payroll tax in December. You expect second-half tax refund of approximately $230 million associated with the tax method change. We are expecting incremental tax payments related to the method change of $40 in both FY 2023 and FY 2024. As discussed in last quarter's call, the tax method change is expected to provide $60 million of cash tax savings over the four-year period with the GAAP P&L benefited recognizing in FY 2021. Slide 13 please. To assist with modeling here are some additional planning assumptions. Depreciation and amortization expense are expected to be approximately $135 million, net interest expense should be around $42 million. We are expecting a full year effective GAAP tax rate of 23.5% with a lower tax rate in the second quarter due to the impact of investing in a stock award, which were granted in prior years. FY 2022 tax rate is a bit higher than last year's rate prior to the tax method change due to larger R&D tax credit in fiscal year 2021. And I will note, we are using our full effective combined federal and state tax rate of 26.3% to tax effect and tangible amortization to calculate adjusted net income. We expect a typical quarterly sequential increase in revenue and profitability, but note that certain factors can skew quarterly trends such as the timing of other direct costs, in delivery of high margin technology. We also expect a sequential decline in revenue from fourth quarter FY 2021 to the first quarter of FY 2022 greater than the normal 1% to 3% due to timing of material buys, drawdowns in Afghanistan and timing of some technology sales. And we are assuming there will be no material impacts related to COVID-19. Slide 14. Turning to our forward indicators, prospects remain strong. For fiscal year 2022, we expect 80% of our revenue to come from existing programs, 12% from recompete, and about 8% from new business. These metrics are in line with historical ranges and also reflect an increasing amount of technology deliveries in our new business content. And as you know, these quick return sales come with high margin contributions. We have $7 billion of submitted bids under evaluation with 85% of that for new business to CACI. And we expect to submit another $12.4 billion through calendar year-end with over 70% of that for new business. In summary, we are expecting another year of strong financial performance with healthy organic growth, continued margin expansion and robust cash flows. With that, I'll turn the call back over to John.
John Mengucci: Thank you, Tom. Let's go to slide 15 please. CACI performed exceptionally well in fiscal year 2021. Despite a challenging environment we did what we said we would do. We grew faster than our adjustable market and also expanded margins. We generated robust cash flow and deployed that cash opportunistically to generate value for our shareholders. That capital deployment included a $500 million accelerated share repurchase, the acquisition of ABT and its exquisite ISR technology and continued internal investment ahead of customer need. And we continue to have ample capacity for additional value creating deployments of capital. We positioned CACI for growth in fiscal 2022 and beyond with strong awards, record backlog and the capacity for ongoing margin expansion. With our continuing investments we are well aligned to budget priorities. We achieved this tremendous success because of our employees talent, innovation and commitment to customer missions, our company and each other. I say it often because it's true. I am proud of the CACI team, each and every one of you for what you do. Critical national security and modernization challenges remain and CACI employees will be there to help our country meet these challenges. I also want to thank our shareholders for their continued support of our team and our company. With that Andrea, let's open the call for questions.
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question will come from Robert Spingarn of Credit Suisse. Please go ahead.
Robert Spingarn: Well, good morning.
John Mengucci: Good morning, Rob.
Robert Spingarn: Thanks for all the color before. Tom, when we think about 2022, and we know there's no explicit COVID impact in the revenue and EBITDA guide. But if COVID were to impact, should we expect revenue to come into the lower end of the guidance range and maybe margins at the higher end? And what have you seen so far in this fiscal first quarter July, August, given the delta variant?
Tom Mutryn: Yes. So Rob, I'll start out with that. It's such a hypothetical question, it's hard to speculate. If COVID impact what happens? A lot depends on the level of COVID impact, how it would affect customers buying behaviors, award activity, our ability of employees to perform. So given that it's so speculative, I'm going to defer trying to answer that.
John Mengucci: Yes. Rob, this is John. Let me add something else. Three items. I guess first of all is, if we look at COVID today versus where we were 12 to 18 months back, it's our belief that both our customers set and CACI are much more prepared than we were a year ago to deal with this virus. So, it's a known risk with a battle hardened solution. Second, we took the action years ago to build a technology infrastructure as I've talked about in the past to support a dispersed work force. We actually did that focused on being able to get cleared employees across the nation. And it actually did a great job of supporting us through the core COVID period. And then lastly, providing choices to our employees on remote versus in building work locations. So, it's those three factors, Rob, that going into the year. We really believe we're far better prepared to the extent that we can be, which is why we're issuing guidance without any additional COVID impact.
Robert Spingarn: Okay. Fair enough. John, while I've got you, we're hearing a lot about zero trust cyber security. And there's these mandates out there that federal agencies should switch over to that security architecture. So I wanted to ask if that's an opportunity for the company? And do you have any commercial partners in Zero trust?
John Mengucci: Yes, Rob. Thanks. We have a lot of many commercial partners. I mean, if you look at zero trust, we have a lot of tool partners that we use on our own network as well as customer networks to monitor a large number of varying cyber attacks. What we specialize in is as that information comes in how do we better defend. We are moving all of our networks much, much closer to zero trust and for those out on the line, you have to assume people are going to get in. So how do you protect all of your information. And how do you put different defense mechanisms in place. We are -- as I mentioned we are hardening our own networks here, as well as networks across a number of federal civilian agencies such as DHS and others, as well as a number of independent defense networks. So we are very much read in on it. We are following all of the new executive orders that are coming out from this administration. And we're also very happy with the work that this administration and the focus that they have on doing a much better job. Now that we've had COVID and that attack surface has expanded greatly, because we have so many employees working in our buildings, in government buildings and also from home. That -- it's the right answer and we believe that we have the right amount of funding and there's more funding to be had with both the infrastructure bill and with others to come. So thanks very much for that question, Rob.
Robert Spingarn: Is there any way to frame the size or the potential?
John Mengucci: Rob, sizing the potential is more directly in line with what we'll track in the enterprise IT modernization. It's sort of an overlay to it. So we'll see -- we'll be able to provide more information when we start to see separate task orders come in on it, Rob. But every time we're out there selling enterprise IT, it most likely will be clean or an additional sub clean to all of the work that we currently provide.
Robert Spingarn: Okay. Got it. Thank you.
John Mengucci: Yes. Thanks Rob.
Operator: The next question comes from Gavin Parsons of Goldman Sachs. Please go ahead.
Gavin Parsons: Hey, good morning.
John Mengucci: Good morning, Gavin.
Gavin Parsons: Two-parter on the organic growth and maybe the 3% five-year target. So, the first part, you're targeting 4% at the midpoint including 2% headwind from Afghanistan. Does that mean you're growing 6%. So 3% ahead of the underlying? Or does that also have some COVID catch up? And then the second part is, what's your framework for thinking about how much you can outgrow that 3% over the next few years and what kind of book-to-bill you need to do that? Thank you.
John Mengucci: Okay, Gavin, ready. All right. FY 2022 revenue growth 4% which is ahead of our addressable market of three. So we can we can check that box saying look, we are that company which is out there looking to grow better than our addressable market. And with the company frankly that's focused on high quality revenue. So, we're going to grow nicely, but at the same time we've got to be expanding margins. As I look at this, Gavin, I'll share a few factors that are in play when we set this guidance out. Tom mentioned a very major one. It's a bottoms-up approach, which is why it gives us confidence at 4%. But there are a few factors which are behind the reason why we're saying four today versus six or even slightly higher. Afghanistan reduction, level of churn in FY 2022 and average award duration. As you mentioned very accurately, we have about a 2% headwind coming into FY 2022 because of Afghanistan. We shared that over the last two quarters of FY 2021. So, though it's no surprise when we take a look at that four, be it not four, the admin administration policy change that we would be soundly at six. Typical churn that happens every year. Each year we would show that step up stack down chart. And when we define churn, it's really work that comes to a natural conclusion or revenue from re-compete losses that aren't going to show up in the following year. Churn is usually about 10% of our revenue plus, or plus or minus. But the churn this year is larger than the last couple of years, because we did suffer recompete loss. As we said in the past, in the expertise portion of our portfolio and it seems like every year we're reminded of this. We're very careful to ensure. We bid the work. We do at a fair price with an insurance that we can deliver successfully with an eye towards driving bottom line growth. And one of those bids we just -- were not successful. So we will say goodbye to some enterprise expertise work. And we'll move forward on that. The last part of it, Gavin, if you look at our backlog, our average reward duration has grown by about a year over the last three to four years. What that does for us on a positive, gives us a really desirable backlog, longer term duration where it gives all of us much better visibility of revenue levels and for a much longer period of time the downside is, is it's going to drive lesser revenue growth per year. But considering all those factors I feel really good about our FY 2022 revenue growth. Net-net without those couple of things would be a 6% to 7%. You also mentioned is there any COVID catch-up? No. The COVID impact we had if you remember was from the folks we were trying to additionally deploy to over seasonal locations predominantly in the Afghanistan area. Now with the administration change that has cleared that slate clean. So, we were never going to make up COVID work going forward, but we were looking for that work obviously to have continued and it didn't. So, Gavin, awful lot of words there that I catch the majority of your questions or anything else that we can answer.
Gavin Parsons: That's perfect. I appreciate all that detail. Maybe just following up on the technology and expertise mix. I think 50% tech for the year maybe a little higher coming out in 4Q. Where do you see that going over time and what portion of the backlog is technology versus expertise?
John Mengucci: Yes, Gavin. We've stated that all four quadrants of our framework are important to us. We have kind of resources. There's opportunities to kind of drive value in one quadrant informs other quadrants. So there is a synergistic aspect to that. For this past year technology grew about 12%, expertise was essentially flat. As we move into next year, we expect to see both parts of that hemispheres if you will to grow with technology growing faster than expertise. And that is supported by both our backlog and the bids to be submitted in the bids [ph] pending, we're going after some kind of expertise work associated with that. So again growth in both hemispheres.
Tom Mutryn: Yes. Gavin, I'd also add. On the technology front we are going to continue to invest at a customer need, either in the enterprise tech area or in the mission tech area. We know we have what the customers are out there looking for spent a little bit of time in my prepared remarks talking about agile. Agile is a great buzz word. It's really hard to do. It's really hard to do repeatedly. It's really hard to do at scale. And we have future bids that are submitted and other bids coming up that are going to play exactly on top of that same past performance credential that our enterprise team has spent an awful lot of time on. So, I would look for us to continue to drive tech higher than expertise. Now having said that, if they all grew at 10% each year, I would be even happier. So thanks so much Gavin.
Gavin Parsons: Thank you both for all the detail.
Operator: The next question comes from Mariana Perez Mora of Bank of America. Please go ahead.
Mariana Perez Mora: Good morning, everyone.
John Mengucci: Good morning.
Mariana Perez Mora: So. do outlook implies share accounts remains flattish. Could you please subscribe and give us some color on how are you thinking about capital deployment? How is the M&A pipeline? And what's your appetite for more share repurchases in the future?
John Mengucci: Okay. Thanks Mariana. So capital deployment. I'm going to call on Tom to add some comments to this as well. Look, you all have heard us both talk a little differently about capital deployment when we were announced -- when we announced our ASR back in March. Look, that was purposeful and a commitment to a continuous evaluation of all deployment options. We've always talked about those deployments. What you're seeing is potentially a different level of execution than we may have had in the past. So additional repurchases, M&A, internal investments, debt reduction, and other potential uses. And that order just to be clear is in no way intended to prioritize options. I like I like to say that they're all on the table and considered when we leverage our robust cash flow. M&A remains an important use of capital for us. But it's not the only one. And as a larger company going forward with greater profitability, greater cash flow, we can do multiple things. And you've heard me say in the past. I want our capital deployment strategy to be opportunistic and flexible. And I use that word, and, as a very key word. M&A and repurchase and internal investments and debt reductions and whatever else and whatever ideas we have going forward. So, from the vision and the strategy of where we're going that's where my head's at. Tom, can you add some more color.
Tom Mutryn: Yes. So, again, a couple of factors. The current ASR, the accelerated share repurchase was executed at the beginning of March. It is still ongoing. So we're -- the counterparty is still in the market of completing the share repurchase associated with that. Once that is completed, we expect to have delivery of another 300,000 to 400,000 shares, which reduces our share account going into FY 2022. That being said, there was some equity-based compensation which would offset that. Hence the flattest share count for FY 2022. So once the ASR is done, we will evaluate the situation as John said. The good news is we have low leverage financial strength access to the capital markets, so a lot of flexibility. Right now, we estimate that we have had well and excessive $1.5 billion of capital to deploy for whatever in keeping leverage at kind of reasonable levels, this would be all cash. And as most people on the call recognize access to capital today is kind of very broad and interest rates are at historically low levels. Right now, we're spending LIBOR Plus 125 basis points on our incremental revolver borrowing with LIBOR being 10 basis points and spending kind of 1.35% kind of incremental interest expense. So until we determine what the best strategy is, we will kind of repay debt. The intent is to try to maintain zero cash balances and reduce debt for obvious reasons to reduce kind of interest expense. And as we go forward we will continue to look at that question both in terms of our borrowing capacity plus our very, very strong free cash flow this year.
Mariana Perez Mora: Perfect. Thank you.
John Mengucci: Thanks Mariana.
Operator: The next question comes from Seth Seifman of JP Morgan. Please go ahead.
Seth Seifman: Hey. Thanks very much and good morning everyone. I was noting the head count number release. And I think it was 22,000 at year end. And that was down a bit from the last year end. Obviously, the company is growing the backlog, is growing. It's a profile of the business and the increased growth in technology. Does that mean -- does that kind of change the link a little bit between head count and revenue and we should think about a company with maybe higher sales per employee going forward?
John Mengucci: Seth, thanks. This is John. That's a better answer than I was actually planning on giving. But let me share some couple of things here. Look, it's been a long time frankly that we've looked at our business in terms of head count people. Tactically to answer the move from 22 [ph] to 22,000. That small change in total head count frankly was due to the exit in Afghanistan as well as some rounding. So tactically that's what happened. But you're absolutely right, Seth. With technology growing faster, our growth is not as correlated to head count as it was maybe five to seven years back. It's been a conscious road and conscious decisions that we have been making to make certain that our growth was not predominantly based on our head count. That does show its hand in our expertise type of work. You all have heard us talk over the last five, six, seven years about how we wanted to right-size that type of work for a number of reasons, shareholder value, profitability, some of the lower margins that we're going to be coming out of that work and the like. And we're just at a point where we are large enough and capable enough for us to go win work, which we can differentiate on technology and our past performance how we deliver not on whether we were able to hire Susie, Julia or Johnny. So yes. So this 23 to 22,000, it's no leading into cater.
Tom Mutryn: Yes. And I'll also add that. Throughout the organization we're driving efficiencies. Even in the expertise area to the extent that we can develop better tools to help people perform their jobs, we can get the work done with fewer people. You've had agile software development is another great example where prior to that it would take extra number of people to develop software. Now we can do it at materially lower head count. And as a result of that we're less concerned with kind of wage inflation. Let's hire the right people to do the job, drive efficiencies and we can deliver attractive cost to the government customer in getting the work done very effectively.
Seth Seifman: Great. Thanks very much. And just as a quick follow-up. As technology becomes a bigger part of the mix, how should we think about the trajectory of CapEx here. We saw the guidance for [indiscernible]. Is that kind of a steady state number to continue to grow?
John Mengucci: Yes. Thank you. So last year capital spending was approximately $73 million. This year regarding to $90 million. There was one sizable expenditure that we're planning on this year, which is a facility to do some manufacturing type of work, which is secured, which makes the facility expensive. This supports a program which has a eight to ten year life to it. And the way the program is priced and the government ultimately will pay for that and capital spending will be recovered in our -- in pricing. So that has driven a step up function in capital spending. Hard to predict what's going to happen next year. But I would say that we're going to move more towards that, 70, 75 level kind of with that one 0.2% of revenue somewhere around in that particular range.
Seth Seifman: Thanks very much.
Operator: The next question comes from Matt Akers of Wells Fargo. Please go ahead.
Matt Akers: Hi. Thanks guys. Good morning.
John Mengucci: Good morning, Matt.
Matt Akers: I guess the fixed price contract that was sort of driving margins higher last year. Is that -- has that kind of reverted to normal? And I guess, as we think of like remodeling the quarterly margins through this year. Is there anything else sort of unusual that we should kind of keep in mind?
John Mengucci: Yes. So the program that we spoke about on had some material benefit for the first, second, third and fourth quarter of FY 2021. From what we see, we expect similar benefits going into the first quarter of this year and that is built into the kind of guidance number. So that will help first quarter kind of margin performance. Consistent with my prepared remarks, we do expect revenue in the first quarter to be down sequentially from the fourth quarter revenue greater than historic trends. And margin should -- have increasing margins throughout the year despite the fact that fixed price program is contributing to the first quarter margin. So, for modeling purposes I would have an increasing EBITDA margin quarters one, two, three, four and five. Full stop recognize that there are fluctuations in both revenue and margin due to the higher margin technology deliveries in the like. We guide the full year. We're committed to the full year numbers. And there are going to be fluctuations among quarters.
Matt Akers: Got it. Okay. Thank you. That's helpful. And I guess one more. Do you have any thoughts on kind of vaccinations and I've heard some talk from DOD and by then on maybe mandating that for government employees or contractors. And I guess, do you see any potential, just risk that employees maybe -- may not be able to access facilities or do work if they haven't been vaccinated?
John Mengucci: Yes, Matt. What I can share is what we know as of now, right? The administration recently announced that everyone working in a federal facility will need to attest to their vaccination status. We're doing the same thing inside of our company. We're actually requiring folks to attest the same information. Not so we can track individuals, but so that we can look at facilities and make certain we put the right protective measures in place. People in government facilities and as well as ours, any county that has one of our facilities in it using the CDC's measurement of severe and high or whatever those terms are. When it goes orange and red they have to wear a mask. But in the government side, if they don't want to get the vaccine they're going to have to comply with COVID testing requirement. What we've learned so far, potentially two times a week and also be subject to travel restrictions. So what we're going to watch, Matt is, as it impacts us -- we have employees going overseas who are not vaccinated to perform work on behalf of the government. There are countries they'll have to be in quarantine anywhere between five to ten days. And we'll have to figure out how are we going to work through that. So -- but having the vaccine out there is a positive thing for all of us. But we also respect the fact that every individual has different beliefs and will make the different decisions. And what we're just asking people to do is be smart and if you're not willing to get vaccinated, please make sure that we're being respectful of other folks in the business. And let's just make sure that we're doing the right thing.
Matt Akers: Understood. Okay. Thank you.
John Mengucci: Yes. Thanks Matt.
Operator: The next question comes from Tobey Sommer of Truist Securities. Please go ahead.
Tobey Sommer: Hey. Good morning everyone.
John Mengucci: Good morning Tobey.
Tobey Sommer: Yes, no problem. First, just some of your competitors cited some issues with the passing delays in the Intel community. Just hoping you could comment on your experience there and how did that impact your thinking around guidance?
John Mengucci: Yes. I guess I'd answer that in a couple of couple ways. $3.6 billion of fourth quarter awards, $9.2 billion during a call COVID year, and trading 12-month book-to-bill 1.5. So the simple answer is no. We continue to see really good demand, a heavy pipeline of opportunities and award flow consistent with normal customer behavior. Now, keep in mind, there are some customer behaviors that are typically slow. And in some customers we see a higher level of awards slipping to the right. With every customer set we have, we actually measure -- RFP day, proposals due day, job awarded day. And there are some agencies that at times or -- and historically make award decisions later than what we've planned. In the old days we used to put a 90-day window into our plan if some you remember that would make up for delays in awards. What we've seen over the last year that we've talked about was slower tasking, which we really attributed to COVID and people being out and the like. But again that's -- this is something we've been discussing for a very long time. So I'll end with my simple answer which is no.
Tobey Sommer: Thanks. That makes sense. And then, are you seeing any impact on at least timing from the chip shortage related to some of the product deliveries in your mission technology business?
John Mengucci: I think we discussed with you all during fiscal year 2021 and throughout COVID that where we saw that where it's had the most is in our EVT business. We're pleased with that acquisition. They bring a lot of great high value, differentiated technology. And they also have been working with our Next Century folks. But we have had supply chain issues. We have had customer delivery delays. But we've had delays on both ends. One is on as you mentioned on build of material items that have gone from a 12-week delivery to a 24 to a 26-week delivery. We're working with our teams to make sure that we do some bulk buys of some of our previous long lead items that are actually going to long, long lead items. But at the end of the day, we also have customer delivery delays because through our COVID our customers weren't there to receive those items, right? We have to usually do final article testing with them. And throughout COVID they were in every other week or every third week ranges had much less time. So there's a few factors there. But we will -- we are continuing to work that issue. It's a global issue today. We have a modest amount of predictive actions that will happen during the year. But all-in-all we're doing quite well navigating our way through it.
Tobey Sommer: Okay. Appreciate the color. Thanks guys.
John Mengucci: Thank you.
Operator: The next question comes from David Strauss of Barclays. Please go ahead.
David Strauss: Thanks. Good morning.
John Mengucci: Good morning, David.
David Strauss: Tom, I just want to clarify on capital deployment. Have you assumed anything in the guide for capital deployment? Are you assuming, you'll stay in excess your free cash flow generation using it to pay down debt?
John Mengucci: Yes. That is what we have assumed. There is no new assumption with regards acquisitions and/or other kind of share repurchases. Obviously, the normal CapEx and internal R&D investments are there, but that is what we assumed.
David Strauss: Okay. And then working capital looks like it was the slight tailwind in 2021. What are you expecting from working capital movement in 2022?
John Mengucci: Yes. So, as you point out we started the year with DSO at 57 days ended at 54 days, that three-day reduction in DSO was around $45 million in increased operating cash flow. We are getting close to an asymptotic kind of level in terms of kind of DSO improvement. For the year, we're expecting a relatively modest improvement in working capital around $10 million. Typically growing companies need more working capital. We think we can offset that and maybe get another day out of DSO somewhere around those particular levels. But essentially flattish is probably a good way to look at it.
David Strauss: Okay. And do you have any exposure to this R&D amortization issue?
John Mengucci: No. It's not the type of work that we do so that is not going to be material to us.
David Strauss: All right. Thanks very much.
John Mengucci: Thanks David.
Operator: The next question comes from Scott Forbes of Jefferies. Please go ahead.
Scott Forbes: Hi. The normalized margin in 2021 were 10.7, you have 20 bps of expansion in 2022. I guess what are the major moving pieces there around cost returning, maybe anything with COVID and then just generally technology expertise?
John Mengucci: Yes. So the major driver of the kind of margin expansion is kind of the mix of our business. We're expecting gross margins to improve, flows down the -- gross margins being revenue less direct cost, that flows down the P&L. And some of that is driven by efficiencies on programs which I mentioned earlier in the call. And a richer technology mix. Technology will be growing faster than expertise, in technologies at higher margins, and so that is helpful. At the same time we should be driving some efficiencies in terms of kind of indirect costs. Our indirect costs excluding fringe of kind of medical expense and also additional fringe on increased direct labor is growing around 1.5%. So we're doing a good job of maintaining efficiencies within the infrastructure. The shared service center in Oklahoma city which we spoke about in the past is helping to drive efficiencies. We've been employing RPA technology internally to focus on kind of improvements in other such initiatives.
Scott Forbes: Thank you.
John Mengucci: Welcome.
Operator: The next question comes from Josh Sullivan of Benchmark Company. Please go ahead.
Josh Sullivan: Hey, good morning.
John Mengucci: Good morning.
Josh Sullivan: How does agile focus from customers change the traditional contracting cycle? You've got record backlogs here. But just by the nature of agile posturing the environment continuously changes. Does that make IDIQ more competitive, recompetes easier or harder? Just curious how the agile focus and increasingly software-defined world just changes the historical dynamics on that backlog conversion or cycles?
John Mengucci: Yes. Josh thanks. So, when you think about agile -- before agile the government would contract to have a system built and it would be more of a cost plus or firm fixed price and it would come in as a single award, and number of dollars and we would book that up front. We're all still working through the challenges of contracting for agile. By it's simple nature of the word, right, it's agile, which means it's fluid, it's going to change. And that's tough coming from the contracting world. What we have done and we'll use BEAGLE as the example. BEAGLE was a one-time award. It's a single award IDIQ, where taskings get put on to that vehicle. and there's parts of it that are also cost plus, it is -- we want to make sure we have access to n number of people because we're going to have y number of apps that need to be modded and pushed out to the field. So, agile does a couple of things for us. One, it allows us to ebb and flow people on that program. What that means? It allows us to do much better job of managing costs. It also helps us do a much better cooperative job of managing costs not only on our side, but for our customer side. Tom mention of -- during the earlier question about 23,000 people to 20 -- 22,000 people. What things like agile does is -- the numbers I'm going to give you are illustrative, but do provide your real perspective. We're delivering an agile software development with about 300 people with incredibly low defect rates on a program that under the last provider used to employ over 500 people with far greater defect rate. So what it does is allows us to deliver programs and agile applications at a lower price to our customer and a lower cost. And if we do that, the margins will be higher for us, because we're taking on some of that risk. So, all-in-all, I don't see agile going to multiple award IDIQs. I see them staying as either single award or as program items, but they want to buy what we're building in spirals. They want to build a little bit, test a little bit, try. And you've got to have the right methodologies in place. Because at any time you could be deploying to the field. So every one of those spirals, you have to have a complete solution you can put out there then you enhance that along the way. So, it is very -- it's very material to how we are driving margin growth. It's very big and very prevalent in both our enterprise and our mission tech work. And I think we'll all get better both government and us as we can try, continue to try to make software development be as agile as we absolutely can.
Josh Sullivan: Thank you for all that detail. And just the question on your Iraq exposure. You detailed the Afghanistan exposure here, but just giving some commentary out of the Biden administration how should we be thinking about your exposure to that environment?
John Mengucci: Yes, Josh. At least as of today we've watched the administration make the decision to completely exit Afghanistan by 9/11 and all I can say is they're executing on that decision. I'm not willing to share which areas are still have folks and which are not for everybody's safety. But if we were to broaden that, we have a lot of OCONUS presence outside of Afghanistan throughout the Middle East, Africa and Korea. Those missions are standing firm, Josh. There's no reductions in any other areas. Some of those folks that were exiting Afghanistan were brought into other missions in other parts of the globe. And that is fully baked in our FY 2022 plan. And specifically the Afghanistan withdrawal does not impact Iraq or other locations. So there's a lot of focus on the missions in those locations is much broader than counterterrorism. We're talking about near peer threats and the like. The analytical services that we provide are actually provided with a much broader focus in some of those other areas. So, we're going to continue to leverage customer relationships. We are very much embedded with customers doing some incredibly hard work around the globe where we can broaden our foot footprint and win new work we absolutely well.
Josh Sullivan: Got it. Thank you for the time.
John Mengucci: Yes. Thanks Josh.
Operator: The next question comes from Louie DiPalma of William Blair. Please go ahead.
Louie DiPalma: John, Tom and Dan, good morning.
John Mengucci: Good morning, Louie.
Louie DiPalma: John, can you provide more detail on the contract wins that you highlighted with the LGS innovations photonics portfolio? And does CACI have -- CACI exposure to both laser communications and laser products for directed energy/counter drone effects?
John Mengucci: Yes, Louie, thanks. So a little bit about photonics. Look, we we've got a nice portfolio, differentiated tech and intellectual property. And as you correctly mentioned, LGS didn't create that, but they certainly supersized how we go about doing that and where we go about putting investments in place. We have Todd Probert who has the combination of a lot of our mission tech work. He's doing an outstanding job. But he and his team understand what we want to invest in Next. Look, in space-based photonics, it's all about size, weight and power. And what discriminates our solution, frankly is the combination of laser modem technology that we've developed, that's ours. And then on top of that, sophisticated software to control and point that tiny little laser at extreme distances so that we can enable, assured digital communications. As I said in my initial remarks, we've had sales to aerospace and defense primes. We're looking to expand that. But what that tells me, is that these are large platform providers and that illustrates our differentiate offerings and also demonstrates their trust in us to deliver. So this is not drawings we have of some of the smallest lasers and gimbals. This is actually products that you can touch. As far as the size of it and where we go next. Frankly it's not large yet. But it's got those four things I'm looking for. It's growing. It's profitable. It's differentiated. And it's highly relevant to where this nation both commercial SATCOM providers and our intelligence and our air force satellite folks. It's got about a $1 billion pipeline, Louie. We're very confident that we're on our way to go, grow that even further. And I think your last question was around, is it non-kinetic or is it kinetic? We're very focused on laser comps in our laser-based photonics work. But our counter UAS and our sky tracker and our CORIAN systems have all been modified and are all set up to actually tip and cue different kinetic laser solutions. So if we're not able to take a swarm of drones down let's say using RF and other and other means, we do have partners that we're in integrating our CORIAN solution with that also provide kinetic effects. So hopefully that provides some right kind of color for you.
Louie DiPalma: Excellent. That was perfect. Thanks John.
John Mengucci: You bet. Thanks.
Operator: The next question comes from Cai von Rumohr of Cowen. Please go ahead.
Cai von Rumohr: Yes. Thanks so much and good results. So, John, your book-to-bill of 2.2 is the best you've done in 20 years. So it's a huge number in a quarter where other people as was noted, saw delays in Intel and sort of administration changeover issues. Was any of that a pull-forward? Because normally your big booking quarter as you know is the first quarter. So should we see a good, but not a great first quarter? Or could the first quarter be in line with your -- I think your 17-year record something like one-eight [ph] or one-nine [ph]?
John Mengucci: Yes. Cai, thanks. Okay. Couple of things. I always start off questions on awards by saying awards are lumpy. It's -- yes, the team did an outstanding job. How these awards come in is so much more of a factor of things we've done the last one or two years. It actually positioned us better. Our processes under Mike Gaffney and his great BD team making certain we're not getting involved in bids that will do a great job of finishing second, because as I've checked, I don't generate a dollar revenue when I finished second. So, one it's about shot selection. Two, the fourth quarter full disclosure had our FSDE DTRA work re-compete in it. We're probably, on top of my head Cai, 80%, 85% of that was re-compete work. But there was a nice $300 million to $400 million worth of additional work, because the mission continues to change. So there was no pull-forward. There was no push late. It sort of gets back to that fundamental question of we have not seen material one-time because of COVID or people being out. Massive delays in these awards. We have customers who have different award personalities for lack of a better term. And they've kept those same personalities up. What I love some customers to deliver closer to the RFP expected day? Absolutely so. But we've got -- as you mentioned, we've got 60 years of information on how customers buy. And I can't point to something that says or they're that far off. There's been years that they have been. And we've disclosed that. But we just have not seen that practice.
Cai von Rumohr: Thank you. And then Tom, you mentioned that the first quarter probably would be down sequentially a little bit more than the average of 1% to 3%. And you mentioned four kind of relative baddies for the quarter. Is this quarter likely -- I mean, is there a chance this quarter could be down year-over-year? And secondly, can you put that in the context of 4% growth for the year? I mean, is this quarter like one or two and then each quarter has better growth as we go through the year, how should we think about that?
Tom Mutryn: Yes. So it's unlikely that our first quarter will be down year-over-year. We're expecting modest organic growth in the first quarter. We've completed the month of July. We have two months kind of left where it's kind of mid-August. So if we have kind of modest organic growth in quarter one in order to hit the 4% number kind of mathematically we'll need some higher growth in the subsequent quarters.
John Mengucci: Yes, Cai. I would also -- go ahead Cai, finish up.
Cai von Rumohr: I was going to say, is that lumpy, because you mentioned Afghanistan. So the $120 million or so hit from Afghanistan all is in the first and second quarter. So we get kind of a hockey stick in the second half?
John Mengucci: Yes. Your good observation. Afghanistan kind of the southwest Asia work is disproportionate in the first quarter of the year.
Tom Mutryn: Cai, I would also provide some additional color too. When we have these start off low grow, I want to make certain that we're very, very clear. That pattern is not due to difficulty in hiring. We've been watching that. Demand for talent remains high and the talent environment remains competitive and challenging. But again, it's no different than it has been in past years. We've continued to try to strive to be the employer of choice. We put different programs in place, allow people to move around the company. And we've enhanced our referral program. We've got a great class of interns even throughout COVID just over 300 folks in our last class. We continually have worked on this over the years to make certain that we always had the right kind of talent that we could source from. And that's coupled with the fact, you go after more technology work where we get to decide the kind of talent that we need and when we want to bring those on. So I don't want to tie hiring issues that we had a hard back end, because we have to find all these folks. That's just not it. We've done all the right things. And so, I just wanted to make certain that wasn't in anybody's calculus around can we get the 4% growth and is there going to be hiring issues.
Cai von Rumohr: Terrific. Thanks and great job.
John Mengucci: Thanks so much, Cai.
Operator: This concludes our question and answer session. I would like to turn the conference back over to John Mengucci for any closing remarks.
John Mengucci: Well thanks Andrea, and thank you for your help on today's call. We'd like to thank everyone who dialed in or listened to the webcast for their participation. We know that many of you will have follow-on questions, Tom Mutryn, Dan Leckburg and George Price are available after today's call. Please stay healthy and all our best to you and your families. This concludes our call. Thank you and have a very good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. And you may now disconnect.